Robyn Grew: Excellent. Good morning, everyone, and thank you for joining us today. I'm Robyn Grew, the CEO of Man Group, and I'm joined by our CFO, Antoine Forterre. As usual, I'll start with some highlights, and then Antoine will take you through the numbers. After that, I'll provide an update on the progress we made last year against our strategic priorities. It's now been five years since COVID first spread around the world. And it seems that every year since has been one of surprises. 2024 was no different as U.S. exceptionalism dominated the global narrative. Equities continue to rally driven by optimism around a potential soft landing for the U.S. economy, the sustained momentum of the AI boom and Trump's pro-business agenda. Fixed income and currencies, however, experienced a more volatile and, at times, turbulent year. Although the Fed cut interest rates 3 times, persistent inflation and oscillating expectations of monetary policy easing, that is, kept markets under pressure. Meanwhile, commodity markets were shaped by geopolitical disruptions and evolving supply-demand dynamics. Energy markets, in particular, saw considerable fluctuations driven by periods of escalation and hopes of de-escalation in the Middle East and Europe, unstable supply chains and the health of the Chinese economy. Elections across more than 60 countries added to market uncertainty throughout. Against this backdrop, I'm proud to report strong financial results for 2024. These results really highlight the strides we've made in diversifying our business, our commitment to collaborating with sophisticated investors to address their most complex challenges and the outstanding quality of our talent, technology and institutional resources. We delivered positive investment performance across all product categories with overall outperformance of 1%. Listen, this isn't to say that it was all plain sailing. 2024 proved to be an unfavorable market for trend-following strategies, and I'll go into more detail on that later. On the distribution side, although 2024 remained a challenging period for fundraising in the asset management sector, we continued to make progress, building deep and long-term relationships with asset allocators and third-party distributors around the globe. This has helped to ensure that client activity remains strong throughout the year. We did, however, see an increase in redemptions as institutional clients faced the combined challenges of macroeconomic and geopolitical pressures on their portfolios, alongside lower-than-expected realizations from private equity allocations. And as a result, we saw net outflows of $3.3 billion for the period. Positive investment performance was offset by these outflows and other negative movements. The latter relate primarily to adverse FX impacts owing to U.S. dollar strength and realizations as we wind down our U.S. single-family rental business as well as capital returned from European CLO strategies. Total AUM as at the 31st of December 2024, was $168.6 billion, which is broadly flat compared with 31st of December 2023. Meanwhile, core management fee earnings per share was 17% higher at $0.215, and performance fee earnings per share more than doubled to $0.106 per share. These outcomes reflect the underlying fee earning potential of the diversified business we've built over the past few years. Despite a below average year for performance in our trend-following strategies, we delivered earnings per share of $0.321, which compares to $0.162 per share in 2020. I'm pleased to report that the Board has declared a final dividend of $0.116 per share, which, together with the interim dividend of $0.056, equates to a total dividend for the year of $0.172 per share, which is a 6% increase compared to 2023. Following the $50 million share buyback announced and executed in 2024, we're announcing the intention to repurchase an additional $100 million in shares today, demonstrating the commitment to our capital policy, which is balancing investments in growth and capital returns to shareholders. We are a diversified active investor, and we ended the year having generated positive investment performance of $10.9 billion for our clients. Overall, investment performance from alternative strategies was 2.4%, with particularly strong returns of nearly 15% from our multi-strategy Man 1783. The strategy benefits from unconstrained access to around 75 discretionary and systematic capabilities across the firm, and its performance during the year is a great reflection of the breadth of high-quality investment content that we have to offer. Alternative Risk Premia also delivered strong returns during the year, highlighting our judicious approach to portfolio construction and risk management, while TargetRisk once again demonstrated its ability to navigate macroeconomic shifts and adapt swiftly to volatile market conditions. On the long-only side, positive momentum in equity markets, together with strong security selection, also resulted in gains of 15.2% across our strategies, 16.8% from Systematic and 12.5% from Discretionary, respectively. As I mentioned earlier, relative investment performance across the firm was positive during the year. This outperformance was driven primarily by our long-only strategies, with particularly impressive results from the Man Numeric range. What isn't apparent on this slide is the strong run of performance Japan CoreAlpha has had for some time now. Over the past 3 years, the strategy has delivered returns 9.4% above the Topix, net of fees, on an annualized basis. These outcomes really highlight the value of high-quality active investment management in the long-only equity space. Our credit strategies also continue to perform particularly well, with high-yield and investment-grade strategies returning 4.4% and 9.5% above their respective benchmarks during 2024. The breadth of long-only strategies generating outperformance not only highlights the expertise and scale of our investment teams but also emphasizes our commitment to continuously innovate and evolve to meet the needs of our clients. It also shows the value our increasingly diversified range of investment strategies and solutions is adding for our shareholders. Apologies, something's stuck on our screens. Hang on a second. We'll get there. Who says I can't do technology? There we go. Overall, underperformance with alternatives was largely attributable to AHL Evolution, our alternative trend-following program, as its indices are predominantly composed of traditional trend followers. And this takes me on to the next slide. As opposed to the much-touted black box, we view trend-following strategies as a transparent box. And I'd like to spend a couple of minutes talking about trend-following performance last year to show the level of clarity we have around what's going on in our models. AHL's Alpha return of 3.2% is below its long-term average but probably in line with both the SocGen Trend Index and Barclays' BTOP 50, representing the industry. And it's undeniably frustrating for this to be the case after a strong start in 2024. So what happened? Well, the program captured trends where they did exist in agricultural commodities such as coffee and cocoa and, in equities, particularly U.S. indices, capturing the Magnificent Seven trend. What caused problems, however, was the lack of trends in fixed income and, in particular, the frequency of reversals. We ended 2024 with expectations of 625-basis-point rate cuts from the Fed in the following 12 months. And by the summer, this had decreased to 2. And in October, we're at 7 again. What exacerbated the problem was the frequency at which these changes occurred. Trend followers have built into positions at about the same time as fixed income markets reversed. Frequent transitions from short to long positions and vice versa are rarely conducive to performance. This also helps us understand why it was more difficult -- why it was a more difficult year for alternative trend-following strategies in general and AHL Evolution, which returned negative 6.1%. Gains made in equities and credit were offset by losses in fixed income and commodities and most notably in positions in natural gas and the electricity markets. Trends in alternative markets were both weaker and shorter in 2024 than in prior years, in fact, the shortest in over a decade, while correlations between alternative and traditional markets were also higher than usual. Importantly, however, the evidence suggests that these effects are temporary. Over the past few decades, our trend-following strategies have played an important role in allocators' portfolios, delivering uncorrelated returns, access to liquidity and valuable crisis alpha. As we head into a year of diverging economic trends, we maintain high conviction that our strategies are well positioned to deliver for our clients. Our global sales team of over 290 people remained focused on listening to and addressing our client needs. This commitment drove solid engagement throughout this year, as I said earlier. We delivered gross inflows of nearly $44 billion, our second best year on record, without a single subscription over $1 billion. This is a reflection of strong, broad-based client demand for what we offer. We experienced a particular high level of interest for our discretionary long-only credit strategies, where total AUM increased by $6.6 billion or 81% over the period. As hopefully most of you are aware, our net flows were impacted by a $7 billion redemption from a single client in systematic long-only, following the strategic decision to switch their entire equities allocation to a passively managed index-based portfolio; and $3.9 billion of outflows from low multi-manager solutions, this low-margin, multi-manager solutions. Although net flows were negative in 2024, relative net flows were actually up 0.2%. This metric is a measure of our ability to attract and retain capital in comparison with our industry peers. I'm delighted that we continue to grow our market share even though we experienced a small number of large, lumpy institutional redemptions during the year. It's a real testament to the strength of our global distribution network. As one of our investment teams has written recently, market predictions frequently missed the mark. In today's environment, investors require tailored solutions that deliver diversified, risk-adjusted returns backed by long-term strategic partners who are innovative, adaptable and forward-thinking. I'd like to end this section by reflecting on why clients partner with Man Group. We're one of the largest liquid alternative firms with over 35 years of experience generating uncorrelated returns and a distinctive edge that comes from combining exceptional talent with cutting-edge technology. Our clients continue to value the quality of strategies and solutions that we offer. We've also consistently demonstrated our ability to expand our capabilities as allocators look to do more with fewer managers. A cornerstone of our strategy has been driving innovation and entering new market segments with highly skilled, specialized teams. We have also made substantial strides in diversifying the firm, ensuring we remain relevant and valuable to our clients across varying market environments. Finally, as customization and transparency are of ever-increasing importance, our ability to deliver solutions at scale becomes even more differentiating. We now run nearly 50 highly tailored solutions for institutions globally, thanks to our powerful operating platform and competitive advantage in technology. We are building lasting relationship with allocators that extend beyond the traditional manager-client relationship, which provides the foundation to do more with them in the years to come. I'll now pass you to Antoine, who will take you through the numbers.
Antoine Forterre: Thank you, Robyn, and good morning, everyone. As usual, I'll begin with some financial highlights before moving on to our AUM, P&L and balance sheet. In 2024, we recorded net revenue of almost $1.5 billion, including net management fees of $1.1 billion, a 14% increase compared with 2023. This was driven by higher average AUM during the period and a full year of contribution from Varagon, which we acquired in September 2023. Robyn will provide an update on the progress of the acquisition later. We generated $310 million in performance fees in a year where, for the reasons we saw earlier, the contribution from trend-following strategies remained muted. This is a good manifestation of the progress we have made in diversifying our business. We also recorded $50 million in investment gains, demonstrating the value our seed portfolio continues to generate for shareholders. Fixed cash costs increased to $412 million in 2024, driven by the full year impact of Varagon as well as targeted investments to support a number of our strategic priorities. At 47%, the compensation ratio was within our guided range and 3% lower than in 2023, reflecting higher net revenues in the year. As a result, core profit before tax increased by 39% to $473 million, and core management fee profit before tax increased to $323 million, the highest level in more than 10 years. Finally, we continue to maintain a strong and liquid balance sheet, with net tangible assets of $867 million as of the end of December, supporting our investment book and our disciplined capital allocation policy. We ended the year with AUM of $168.6 billion, up from $167.5 billion at the end of '23. The increase was driven by positive investment performance of $10.9 billion, partially offset by $3.3 billion of net outflows and negative other movements of $6.5 billion. Investment performance was positive across all product categories, with particular contribution from our long-only strategies. On the flow side, we experienced $4 billion of net redemptions from alternative strategies, primarily driven by multi-manager solutions as a small number of large institutional clients redeemed low-margin infrastructure mandates. In absolute return, net outflows were driven by client rebalancing in the first quarter of the year while we continue to see interest for a range of strategies in the total return category. $0.7 billion of net inflows to long-only strategies were driven by continuing strong demand for discretionary credit strategies, partially offset by outflows in systematic long-only, including the $7 billion single client redemption mentioned earlier. Negative other movements were $6.5 billion. This includes $3.8 billion of FX headwinds, owing to the strength of the U.S. dollar, as approximately 40% of our AUM is denominated in other currencies and $2.1 billion in realizations and maturities from our U.S. real estate equity business, which we decided to wind down, and our European CLOs. Although we ended 2024 with high AUM, the underlying mix of assets we manage was skewed more towards long-only strategies when compared with the end of 2023. Consequently, run rate net management fees, which represent a point-in-time snapshot of the firm's management fee earning potential, decreased to $1.058 billion, and the run rate net management fee margin decreased to 63 basis points at the end of December '24. While the mix of net flows had a positive impact of approximately 1 basis point on the margin, this was more than offset by the negative impact from the mix of investment performance and FX during the year. As you have heard me say several times before, we do not target a particular net management fee margin but, instead, prioritize driving profitable growth across all our product categories. Turning to performance fees. Core performance fees for the year were $310 million, up from $180 million in 2023. Alternative strategies generated $264 million in performance fees including a significant contribution from our institutional solutions and multi-strat offerings, while long-only strategies added a further $46 million. This is a strong reflection of the progress we have made in diversifying the performance fee potential of our business, which underscores our ability to deliver strong outcomes for shareholders even in years of subdued trend-following performance. Gains on seed investments were $50 million, taking the total over the last 2 years to nearly $100 million. At the end of December '24, we had $51.2 million of performance fee eligible AUM. $21.1 billion was a high-water mark, with a further $10.5 billion within 5%. As at 21st of February, we had accrued roughly $25 million of performance fees due to crystallize in 2025. This figure is not a forecast or guidance but rather the position at a specific point in time. The amounts that crystallize will fluctuate, increasing or decreasing based on investment performance up to the crystallization date. Moving on to costs. Fixed cash costs of $412 million were 11% higher compared with 2023, partly driven by the full year impact of the Varagon acquisition. Excluding this, underlying fixed cash costs increased by 6% as we made targeted investments to drive our multiyear strategic priorities forward. Robyn will talk more about our progress in the final section. Although variable compensation costs increased to $420 million, the total compensation ratio decreased to 47%. This was within our guided range and reflects the level and mix of net revenues we generated in 2024. While we continue to invest to drive the next phase of growth in our business, we are also committed to maintaining the cost discipline that we are known for. To that end, last year, we conducted a full review of resource allocation across the firm, with a focus on improving operational efficiency while supporting our strategic priorities further. As a result of this exercise, our fixed cash cost guidance for 2025 is $425 million, roughly 5% below current consensus estimates. 2024 was another year of profit growth for the firm. Core net management fee earnings per share were $0.215, 17% higher than 2023 and more than double when compared with 2020. On average, we have delivered 20% annual growth in management fee EPS over the past 4 years. After a period of lower performance fee generation in 2023, performance fee earnings per share increased to $0.106 in 2024, taking total earnings per share to $0.321, 43% higher on the year. Over the past few years, we have built a business that benefits from significant operating leverage. This supports the potential for greater profitability as we grow, offering a clear value proposition for our shareholders. Our business model is highly cash generative, with the majority of our revenues converting to cash within 1 month. This allows us to maintain a strong and liquid balance sheet, which gives us optionality and flexibility as we pursue our long-term growth ambitions and return capital to shareholders. At the end of December, we had $867 million of net tangible assets, including $225 million in cash and cash equivalents. Our seed capital program continues to play an integral role in supporting the growth of our business. In 2024, we managed our portfolio actively, redeeming over $400 million and redeploying over $300 million. Our gross seed investments at the end of December were $764 million, $532 million of which were on balance sheet. As you can see, this is a diversified portfolio with investments in both alternative and long-only strategies across liquid and private markets. As I've mentioned before, we consider the most efficient financing available to seed investments, including fund financing and using our revolving credit facility. Our capital allocation policy is disciplined and intends to support the future growth of the business while delivering attractive returns to shareholders. Our aim is to increase the annual dividend per share progressively over time, reflecting the firm's underlying earnings growth and free cash flow generation. We then look to invest in organic and inorganic initiatives that align with our strategic priorities to drive long-term value creation for our shareholders. Finally, any remaining available capital is returned over time through share buybacks. Including the proposed final dividend and the $50 million share buyback completed in 2024, we've returned approximately $250 million to shareholders in the year. This excludes the $100 million buyback announced today. The total capital returned to shareholders over the past 5 years is $1.8 billion or over 55% of our market cap today via a combination of dividends and share buybacks. Shareholders now receive an additional 25% of every dollar of earnings when compared with 2020. On that note, I'll hand over to Robyn to take you through the next section of the presentation.
Robyn Grew: Thank you, Antoine. This time last year, I outlined our long-term strategic priorities, each of which represent a significant and exciting growth opportunity for us. As a reminder, we aim to further diversify our investment capabilities, notably in credit, in quant equity and solutions. And we want to extend our client reach, with particular emphasis on wealth, North America and insurance channels, all while leveraging our existing strengths and scale. With hard work and dedication throughout 2024, we made good progress on several of our multiyear strategic priorities, positioning our firm for long-term success. Last year was defined by focus and agility as we continue to invest in the core strength of our business while laying the foundations for the next chapter of growth. Looking forward, I have no doubt that our high-performance culture will enable us to build on the momentum we've created and continue delivering value for our shareholders. I'll spend some time today talking about the work we've done on our credit platform, quant equity capabilities and business model. But before I do that, I wanted to highlight an exciting new development for us in the insurance channel. I'm delighted that we've established a strategic partnership focused on private markets between Man Group and Meiji Yasuda, one of Japan's oldest and most respected life insurance providers. As part of their growth strategy, the company plans to allocate JPY 600 billion or about $4 billion to private markets over a 3-year period. We are honored to be one of their partners of choice. Our growing capability in private markets, complemented by our long-standing expertise in quant research and AI, will support Meiji Yasuda in achieving its asset management ambitions, and we look forward to working together. The acquisition of Varagon has been instrumental in enhancing our capabilities in private markets, particularly in private credit. The business performed strongly in 2024, delivering for clients and establishing a solid foundation of growth in 2025 and beyond. Our portfolio has continued to generate outperformance for clients, demonstrated by resilient underlying KPIs and realized losses below the industry benchmark. The deep long-standing relationships our team has with private equity firms allowed us to source new opportunities while maintaining underwriting discipline. In highly competitive markets, our proprietary, directly originated deal flow continued to provide lead lender benefits and access to high-quality borrowers. This is a really important way for us to differentiate ourselves from competitors. Fundraising initiatives and product development also continue to progress in line with our plans. We're pleased to launch -- we were pleased to launch an evergreen private credit strategy earlier this year, seeded by an existing Man Group client, with origination activity supported by a warehouse facility from the firm's balance sheet. Finally, approximately 18 months since the acquisition, the integration is now complete. A number of Man Varagon functions have now been integrated, centralized or enhanced, and we're already seeing the benefits of greater collaboration. More broadly, I'm delighted with the progress that we continue to make in building our credit platform. As of December, we managed $35 billion in credit AUM across both alternative and long-only strategies, spanning liquid and private markets and supported by over 130 dedicated investment professionals. With the credit market becoming increasingly attractive to the world's largest institutions, we remain focused on expanding our capabilities -- existing, those capabilities while exploring opportunities to grow further, whether organically or inorganically. Another area of growing interest to clients, thanks to its alpha generation and diversification potential, is mid-frequency quant equities. Given the size and growth rate of addressable market, this represents an exciting opportunity for us. Over the past year, we've made significant progress in this space, and the results are starting to show. Our AHL Stat Arb strategy delivered 6.1% of gains for clients in 2024 while our Numeric Quant Alpha offering was up over 20%. Notably, as shown in the middle chart on this slide, the strategy exhibited very low correlation with trend-following strategies, underscoring its diversification benefits. Expanding our presence in this space not only makes us more relevant to clients but also has the potential to generate significant, diversified and uncorrelated earnings streams for our shareholders. In 2024, we accelerated investments to build on this momentum. We added over 30 dedicated researchers and technologists, onboarded more than 200 new data sets to uncover additional sources of alpha and enhance our execution capabilities to better capture the alpha identified by our researchers. With our strong heritage in quantitative investing, a proven track record and cutting-edge technology backed by $130 million of incremental spend during the year, we're approaching this opportunity from a position of strength. We're excited about the growth ahead, and we look forward to making further progress in 2025. We're fully committed to aligning the firm's resources with our strategic priorities, and the actions we took in 2024 reflect that. I truly believe that agility is critical to sustaining a high-performance culture, and we can't afford to be complacent as we drive the next phase of growth. By deprioritizing certain business areas, such as our U.S. real estate capabilities, we have the capacity to make additional direct investments to support our efforts in credit, North America, quant equity and wealth while maintaining the cost discipline we're known for. Our seed capital program continues to play a vital role in supporting the launch of new strategies and the development of new talent. In 2024, we seeded 13 new strategies across our business and provided direct support for several multi-strat offerings. By the end of the year, over 80% of our gross seed exposure was aligned with our strategic priorities. The strength and flexibility of our balance sheet allows us to invest in the business to support our long-term growth, to evaluate M&A opportunities and ultimately maximize shareholder value. And on the topic of M&A, we maintained a deliberately disciplined approach to evaluating acquisition opportunities through 2024. While the M&A environment, particularly in private credit, is evolving, the rigor and discipline we apply in assessing opportunities remains unchanged. We see significant opportunities ahead in 2025. With stretched equity valuations and the risk of persistent inflation in the U.S., allocators are likely to increasingly prioritize on correlated investment strategies. At the same time, higher-for-longer interest rates and structural shifts are expected to drive continued growth in credit markets. As investors face a more complex landscape, demand for customized, scalable and differentiated solutions will continue to grow. Finally, divergence across geographies, as we've already witnessed this year, between the U.S. and Europe, for example, heightens the need for partners capable of evolving as quickly as markets do. As a global diversified alternative investment manager with exceptional talent, cutting-edge technology, we're in a prime position to help our clients successfully navigate what lies ahead. Our broad range of innovative investment strategies and solutions is designed to meet their changing needs, and we remain relentlessly focused on delivering outperformance across all market conditions. In 2024, we delivered for our clients. We continued to invest in the business. We achieved key strategic objectives to strengthen the firm. We generated strong profits for our shareholders. Together with our long-term track record, this reinforces my confidence that we're exceptionally well positioned to deliver sustainable growth in the years to come. Thank you. We're happy to now take any questions. We'll start with those people in the room and then move to those of you who have joined us virtually.
Q - Angeliki Bairaktari: It's Angeliki Bairaktari from JPMorgan. A question on the U.S. credit business, please. The AUM in that business haven't grown really all that much quarter-on-quarter. But I did hear that you've launched this evergreen product in the second half of the year. So the question is, should we expect to see net inflows in this area in 2025? And can you discuss perhaps the fundraising and deployment trends that you're seeing in the U.S. private credit business? And then a question on performance. I mean if we look at your performance year-to-date in trend-following, that remains challenged. How should we think about absolute return flows in 2025, please?
Robyn Grew: Okay. So I'll take the Varagon, and then if you want to, we'll go from there. So inflows for Varagon or for that private credit business aren't recognized until capital is deployed. So it becomes -- so it only becomes fee generating once it's deployed. So it isn't actually reflective of client engagement at this point. We've successfully, as you say, launched that new evergreen private credit strategy. And that with anchor commitments of circa $540 million from an existing client. So if we take a step back, what we've seen is we have great engagement. Clients are flowing. We have capital. We've yet to deploy it. You'll see that happening through 2025. But the discipline around deployment is important as well. So we're not going to rush to deploy. You want to be sure that you're doing so with good risk measures, and that's part of the strength of that team. So we are confident that, that is working well. You're not seeing the AUM figure because you haven't seen the deployment figure. But the client engagement on that is incredibly encouraging.
Antoine Forterre: And on the performance, it has been volatile for the last few weeks indeed. However, it's still early in the year. And as you know, we don't give guidance on flows, but we remain confident in the outlook, and we see significant opportunities in '25. Isobel Hettrick It's Isobel Hettrick from Autonomous Research. So I also have 2, please. The first is on pipeline and investor sentiment more broadly, not looking for any specific guidance here or flows. But can you just talk about how investor sentiment is, especially given the volatility we're seeing out from the U.S.? Are you seeing it taking longer to win and convert mandates than in prior years? And then the second question is on M&A. You touched on the -- in the presentation that private credit is an area where you are exploring inorganic growth opportunities. Are there any other geographies or capabilities you would look to as well?
Robyn Grew: I'll take a shot at both of those, and by all means, Antoine, come in. So pipeline broadly and investor sentiment, what we do continue to see is the drive by allocators to want to do more with fewer managers. So the capability to have more diverse offering is incredibly important. We also see the trend towards wanting more customized solutions, quite frankly. The more that you can address what is portfolio construction and the capability of filling the gaps that allocators might have is more and more the conversation. So when I talked about earlier, that ability to have more -- and more about delivering the entire firm to an allocator, the more relevant you are. So investor sentiment is one of collaboration, partnership, doing more with fewer people, about risk management, about the capability of understanding how to think about portfolio construction over not just the short term but the medium and the long term. And that depth of relationship that we have with clients is proving to be incredibly valuable. These are complex times for everybody, and we're here to help. On M&A, we have signaled that we're very keen to drive in credit. But that discipline around our capital policy is also important. We have high conviction in our capabilities to grow organically. But if we can find an opportunity which is at the right cost with the right culture, with the right abilities to scale and grow in a space where we don't have an offering so that we can provide that diversified content, we will follow that up. But we're very, very disciplined in the way that we do that. And I think you can see the strength in over $35 billion of credit now. And a chunk of that is also because of the teams that we currently have and the organic growth we're seeing, but the conversations are very positive in terms of investor and allocator sentiment around credit and its diversification properties across that sector.
Antoine Forterre: Nothing to add. Just a reminder for those who have joined virtually to enter the questions in the chat box that they should see on the Webex console.
Michael Sanderson: Mike Sanderson, Barclays. I'll go with 3 because that's pretty standard on the analyst world. Two seems to be passé, but I move.
Robyn Grew: If you want to go for 2, it's fine. We can deal with -- okay, fine.
Michael Sanderson: So first of all, I guess, gross flows, obviously, you mentioned being particularly strong. The reverse of that is clearly redemptions were tougher through 2024. And I guess, interested to know about what your thoughts are about slowing those because those are obviously the easiest way to keep momentum in AUM. So sort of conversations there, how investors are thinking about that. Second one is around private wealth. And clearly, a lot of the private capital, private equity names, et cetera, making a lot of noise in this space at the moment. Just trying to understand whether you view that as a helpful piece for your private wealth push or whether they are squeezing the opportune pull for you and how you're going to approach there and different product potential. And then I suppose finally, you obviously made quite a lot of detail about Man 1783 and the development in that product. Interested to know where that product sits, how you sell it, who's the target audience when it comes to this -- is it a solutions-based product or a sort of performance-based?
Robyn Grew: Okay. How about I'll -- we can split this up between us, so we're not too boring. I will -- let's -- we'll talk -- we can talk -- let me -- we'll spitball between us. So gross flows, how do we feel about that? We -- I think what we demonstrate time and time again is the quality of our ability to partner with clients is incredibly important. And we -- that gross flow number that we talked about earlier is just -- it demonstrates the reach and the depth that we have. You also noticed that we didn't raise a ticket last year above $1 billion. And that demonstrates also the breadth that we're now focusing on. So there are times where we will raise large tickets for sure. And then you see that sometimes on the redemption side, which is why we signaled to the market last year, on Q3, the redemption of that particular client. But what we're seeing is engagement and a level of interest in the diverse content that we have. And so when I think about flows, I think much more about this as a mechanism of partnership that takes time. Flows are also a feature of lag, right? This sentiment, you all know this. I'm telling you everything you already know. But it isn't that you make a phone call today and something gets funded tomorrow. That's not how this works. Large allocators, these are long processes with strong engagement over months and sometimes years to reach the right or the right allocation for them. And so we do this in this reporting cycle in a way that looks at flows. Clients don't conveniently fit within the annual reporting or the quarterly reporting that we have. So it's a moment in time, very focused on retaining our client relationships. And indeed, we have -- I think it's over 50 clients with institutional solutions now, multiple content across multiple strategies. That's what's interesting to us.
Antoine Forterre: If I can add a few points. Structurally, our sales efforts, sales incentives are such that there's as much incentive to retain assets as gain ones. So structurally, we obviously focused on this. Second, the growth of solutions and the ability to customize leads to lower redemption over time, particularly the most customized offering that we have within institutions bucket where redemption rates have been in sort of 10% historically. And then finally, obviously, last year was a year of net outflows, but if you put it in perspective, it was the first year in a long time. Over the last 5 years, we've only had 5 quarters of net outflows in the last 5 years. We've generated $18 billion of net new capital in our strategies, growing the business. So we see the fact that last year, we lost this one large mandate, but the trend underlying is one that's positive.
Robyn Grew: Let me pivot to private wealth, and it will bleed a little bit into 1783 actually. So private wealth, the discussions are very much access into alternative content and capability that traditional private wealth hasn't actually been able or thought about investing in. And I think it comes back down to these are -- it's the fastest-growing segment in the world. And it's a space where, more and more, the emphasis is placed on the individual to undertake their own planning. For us, the engagement is about how do we democratize the access to the content that we provide to large institutions so that it's accessible to the private wealth space. And in doing so, that can be any type of content, and it can be large and beta-plus content that you might see across our quant engines, but it's actually a discussion also about multi-strat and things like 1783. So 1783 becomes an interesting product because it showcases the capabilities that we have in the organization for solutions in a format that is managed for you in a single fund. And that's something that is interesting in the wealth space, but it's also very interesting in the institutional space. And so I think you're starting to see, Mike, the ability to say, how do we do a better job of servicing more broadly these client channels so that they have access to high-quality content that is able to navigate these environments? And what we're seeing is a greater desire from the platforms, in particular, we're not going to go directly to wealth, to have access to our capability to help them service the underlying clients that they have in their wealth channels more effectively.
Antoine Forterre: [Operator Instructions]
Robyn Grew: I think the room covered it for everybody who's dialed in.
Antoine Forterre: Well done.
Robyn Grew: Good job, team.
Antoine Forterre: Sorry, two questions have come through from Arnaud. First, when looking at some of the successes we are seeing at some of the multi-manager hedge fund competitors and significant inflows they are seeing, are you capable of emulating the success at GLG? Is success there just a function of performance? Or are there other operational setups required for you to succeed here? Second question, we'll talk back later, but it's a Varagon-related question. On Varagon, most alternative managers will report AUM as well as fee-paying AUM. So I was wondering if you could disclose AUM committed and yet to be deployed? Which clients is AUM coming from? I can start with the second, if you want. So you will see somewhere in the disclosure that we talk about it. But for Varagon, there is -- in addition to the $500 million that Robyn alluded to committed yet deployed, there's another $3 billion of fee-paying capital that is committed yet to be deployed. And then in addition to that, we have a credit risk sharing strategy which saw great demand last year that has another, call it, $1 billion or so of capital to deploy. So overall, kind of around $4 billion, $4.5 billion of capital still to be deployed and then become fee-paying. And then manager, multi-manager hedge fund, how can we emulate the success?
Robyn Grew: I mean either -- we feel very comfortable that we can compete, I think, was the first part of that question. This is also a game for talent. It is about how can you attract the people to join you in the Discretionary space. Obviously, we've retired the GLG brand, but I'm fine. I still know what you mean by it. So for us, this is about -- we had an extraordinarily strong, I think, and good performance from multi-strat last year, certainly up there in nearly 15% of returns. This is about ensuring that you continue to enrich the space with discretionary and fundamental investors. We are very competitive as we sit down with those people and who want to join the firm. We have a business development group that is doing that. We have more engagement with potential managers to join us than, I think, we have ever had in my history at Man Group. And that's because, in part, the way that we think about multi-manager and 1783 here and content provision. It isn't just a single fund that you go into. This is about being able to operate and have capital from potentially 3 different sources, both from seed, from multi-manager to be part of that or indeed stand-alone. And those -- that capability to build a business here is differentiating for discretionary managers or fundamental investors. And so we feel very confident that we're growing great content. We feel very confident that we can provide the right capital structure for those people to join us and succeed. And ultimately, we're very confident, therefore, that we're creating high-quality, uncorrelated content. And we don't set up people to compete with one another in this organization. This is about having high-quality, uncorrelated capabilities that form part of our offering. And doing that, we think, offers more than a single multi-manager access point for our clients, and that's what we're here to do.
Antoine Forterre: Two points to add on the operational set of question or part of your question, in particular. Over the course of last year, we changed the terms of 1783 in particular and other funds, multi-strat funds that we run to introduce partial pass-through of talent costs in effect, which is a realization that the world and client expectations have changed since we first launched that program 5 years ago. So we're now competing on an even playing field with the space. And the second is that we're one of the largest global alternative managers. We have a 35-year history of trading all asset classes, Systematic and Discretionary, and a huge infrastructure backing that, which gives us a huge advantage compared to a lot of the multi-strat, in particular, the new ones that are just getting going. So we have a strong offering, strong platform to add. I'm not seeing any more questions. One last shout. No?
Robyn Grew: Very good. Thank you very much for joining us today.
Antoine Forterre: Thank you.
Robyn Grew: Thank you.